Antonia Junelind: Good morning, and welcome to the Presentation of Skanska’s Third Quarter Report for 2023. I’m Antonia Junelind, Senior Vice President, Investor Relations. And here in the studio I have President and CEO, Anders Danielsson; and CFO, Magnus Persson. They will take you through the third quarter results including an update on business performance, market outlook and our financial position. After their presentation, we will move to a Q&A session. As usual you can ask your questions either if you’re here in the room with us in-person or you can join the phone conference or the audio conference. May I then please ask you to use the HD link, because that will offer a better sound quality. And, lastly, you can write your questions by using the text field on the webcast page. But we will come back to the Q&A. But first the presentation. I hand over to you Anders to start.
Anders Danielsson: Thank you, Antonia. Before I go into the figures, I want to look at the picture here you can see on the screen to the right, that is office building we have developed, constructed in Budapest, Hungary. And we also leased it out and managed to divest it in the third quarter. Very nice building. To summarize the quarter before I go into each stream, we have continued to have a strong performance in the Construction stream, and we have also been impacted by a weak property market. So that has resulted in asset and goodwill impairments of SEK 900 million. On the Construction side, we have an operating margin in the quarter of isolated over 3.3%. A return on capital employed in Product Development overall 0.7% on rolling 12. Return on equity 9.5%, rolling 12%. And we have maintained a strong financial position, which is extremely important for us in this market. We have managed to reduce the carbon emission since 2015, which is our base year and reduction has been 58% so far. So now, I move into each stream starting with Construction. Revenue is pretty much flat. Order bookings SEK 33 billion and we have a rolling 12 book-to-build of 107%. And, historically, high order backlog of close to SEK 240 billion. The operating income close to SEK 1.4 billion, which correspond again of 3.3%. We have a robust order intake for several consecutive quarters in the company, and the order backlog is on a high level. The rolling 12 months operating margin is 3.8%, and that’s well above our target for the whole group. So the solid performance continues, which is really important, of course. I move on to the Residential Development stream. And here we can see reduced revenue, of course, since we have sold less home in the quarter, 277 homes sold. We hadn’t started any homes in the quarter, and we had operating income of minus SEK 494 million, which is – then, we have taken charges for goodwill and impairment tests for predominantly land. We will come back to that. Operating margin, negative, and the return on capital, also negative, of course. We can see that we have lower than normal sales volume in all markets, except for Central Europe, where we actually can see the strongest market right now, especially in Poland, but also some good signs in Czech Republic. And we continue to work on the turnaround program we have in our low-cost segment, BoKlok. And as you also can see in the report, we took operating charges in BoKlok, also in the quarter of SEK 160 million. Commercial Property Development, operating income is negative. We have a gain on sale of close to SEK 200 million, which was made in the quarter. Return on capital employed 2.3% on a rolling 12. And, today, we have 29 ongoing projects, which corresponds to SEK 31 billion upon completion in total investment. The completion rate in the portfolio is 61%. We are lagging a bit with the occupancy rate of 36%. If you exclude the rental residential we have in the Commercial Property Development is 44% and that’s a relevant figure, because in our rental residential project the market works that we rented out very close to the completion of those assets. We didn’t start any new projects in Q3. And, again, we divested H2Offices in Budapest in the quarter. And we do have a very, very nice portfolio of very high quality assets, and we will show you how much leasing activity and the leasing position we have in those. But the transaction market is very hesitant today. But when the transaction market starts to work normalize, we are in a very good position. And moving on to Investment Properties. Here, as you know, we’re targeting high quality, sustainable office, to build up an office portfolio between SEK 12 billion to SEK 18, which will generate stable and good cash flow. Today, we have a stable operational performance. And the occupancy rate in our portfolio today is 91%. So we have continued to lease out in that stream as well. Construction, again, looking at the order bookings. Here, you can see the development during the last 5 years. So we are in a good position. We have a healthy strong order backlog. We can allow ourselves to continue to be selective and go for projects, where we see we have a competitive advantage. We have a good track record in the history. And we also have the right team in place. So that is critical for a successful construction operation. And, here, you can also see the development on the rolling 12, when it comes to order bookings in the light gray; the orange line order booking per quarter more volatile, of course, but you can see the revenue as well, which is today pretty much flat in local currencies. And the book-to-build in on the rolling 12 is also on a historically high level 107%. And if you go into each geography and look at the order bookings, you have the quarter, you also have the rolling 12 months, and the months of production. Strong overall in the Nordics, it’s especially the Norwegian operation, where we have one healthy good projects and in the last 12 months, we can also see a strong order intake in the U.S., where the market is Continue to be strong. So, overall, 107% and the months of production is also important to look at. We have 18 months today of production, which is also on a high level. So I’m confident in the size of the order backlog. I’m also confident in the quality of the backlog. So with that, I’ll leave it to Magnus.
Magnus Persson: Thank you, Anders. So let’s look at income statement for Construction. We had revenues of close to SEK 41 billion in the quarter, that’s up a couple of percent and local currency is down a couple of percent in terms of business volume. Gross margins of 7.3%, slightly up from the last quarter, keeping a stable S&A coming down to an operating margin of 3.3%, slightly lower than the comparable quarter last year. Rolling 12 months were still at 3.8%. So we continue to have this sort of long-term stable performance from the Construction business. And there are no particular one-off items in the quarter that you should be aware of to take into account when you analyze the business. If we look under different geographies, Nordics 2.8% margin, somewhat down then from the same period last year. And the deviation there, you can see Sweden it’s the same 3.5%. So you find the deviation in the other part of the Nordics, which then obviously is Norway and Finland. And I say that’s within sort of what happens with normal swings between quarters there. Europe decent profitability, 2.9%, and then a very strong quarter in the U.S. We have good performance there, operationally speaking, and the markets are strong in the U.S. as well in comparison to the other markets we’re in. So what happens in the quarter is a bit stronger performance in the U.S., a bit weaker in the other parts of the Nordics sort of compensate each other to total – solid quarter in Construction performance here. If we look at Residential Development, a slightly different story. We recognized revenues of SEK 911 million in the quarter, which obviously is quite low, and it is so that the Residential Development market stays weak to very weak in almost all the geographies we are present in. And as Anders already alluded to, we have a bit of a different market situation in the central European parts of the operation, especially in Poland, which is going very well. So good sales pace and prices are sort of moving in a favorable direction there. Gross income, we recorded a loss in the quarter at the gross level of minus SEK 142 million. And in that number, we have recognized asset impairment charges to the tune of SEK 320 million. Those charges are mainly related to land, and the absolute majority of the charges are to be found in our operations that covered affordable segment of the housing market under the brand BoKlok. That’s where we can find the majority of this. If we move down to the selling and admin, minus SEK 352 million, also here a very high number, but included in that number, we have impaired a goodwill position in the Norwegian part of the Residential Development operations. The size of this impairment is SEK 160 million. So if you take us down to the operating result on a minus SEK 494 million, adjusting for these one-off impairments, which obviously not impacting our cash positions, we are roughly breakeven in the quarter, you can say. So backing out from the isolated quarter, it’s fair to say that we are still suffering here by a lack of volume in the business. If we take away the impairments on the gross level, we have a decent profitability coming out of the projects, but S&A is sort of still too big in relation to the gross profits that we managed to make with the slow market that we can see today. If we move on to the different geographies, all geographies then recorded a loss during the third quarter. The biggest one is in the Nordics, is also where we have the biggest part of the operation obviously. And the Nordics also then, of course, at the operating level includes the goodwill charge that we have taken in the Norwegian operations. If we exclude the part of our business that addresses the affordable segment, both European and the Swedish part were actually making a profit in the quarter. The rest of the Nordics was not, but that is due to the goodwill impairment there, that sort of charges that. And, in addition to give you some more flavor on that, in addition to the fact that the affordable segment, is making up the majority of the asset impairments, they are also recording a running operating loss of around SEK 160 million in the isolated quarter. So it has a pretty big effect on the isolated quarter from that part of the operations. And in Europe, despite the minus SEK 54 million, if we sort of make the same adjustment there, we do actually have a good profitability and a good drive in the Central European part of the business. If we look at home started and sold, we started no new projects, no new units in the third quarter. And it is more difficult today to find and underwrite a solid business case, because we have for quite some time as you know seen cost inflation and we also have a weakness in prices. And we do not want to start projects that we are not convinced ourselves about that this will be a good project for the group and create value. So it’s a zero here on that line. We managed to sell 277 units done. But I think it’s important to send the message that we prioritized very hard and we activate only the parts of our land bank that are really good today in order not to get into problematic projects out into the future. If we look at ongoing production, we had 5,100 homes around that in production end of the third quarter, down then from 6,800 at the end of the comparable quarter last year. So we’ve handed over, obviously, a lot of units here to buyers. Then, sales rate, 54%, and this is what happens when the market slows down and we, of course, continue to produce sales rate falls and despite the few starts we have a good amount of inventory to sell from in this business, which is a good of course if the market sort of comes back to us. And as expected also the unsold completed units, they increase, I think, we have been alluding to a very high likelihood that this will happen for some quarters as the market slows down, our production machinery doesn’t slow down, it continues to produce in the projects we have started already. So it’s inevitable that this part grows before we manage to sell it off to the external market. And the important thing to bear in mind here is that we need to have a good churn on of these units, so they do not grow old on our balance sheet, which would constitute the risk. But something we look very closely on and we do have a good churn and not like a big part of units being very old there. So it’s more a consequence of current market dynamics, if I put it like that. If we look at Commercial Development, the income statement here, we recorded revenues of SEK 1.4 billion and the majority of that came from one property divestment in Budapest, H2Offices, as Anders showed you the picture about on the first page, very nice project that we managed to sell at very decent yield levels actually below our own underwritten business case, and I think this is a testament to that. When there is a willing buyer, our properties are very attractive. The situation on the market is more about the willingness to close, but we have very attractive properties, which we can see when we do deals like this. We recorded a loss at the gross level here of SEK 56 million, and due to the market uncertainties would rising interest rates and overall sort of opaque future for the transaction market. We have recorded asset impairments also in Commercial Development to the tune of SEK 350 million in the isolated quarter. The absolute majority of this also here is land, and it is located to the U.S. part of the business. And I have to say, it remains very difficult to assess appropriate market values for commercial properties today, due to the fact that there is a very little comparable transactions going on. And even if there are a few, there is no real depth in the transaction market. So you have very little empirical data to rely on when you make your assessment of what would sort of a buyer accept in terms of price and what could we sell this for. And that’s a fact, that’s where we are now with this. If we look at the surplus values in the portfolio, see, if we get it up, there we go. Unrealized and realized gains for our unsold projects in the portfolio. We had SEK 7.4 billion in the second quarter. Now, we have taken that down to SEK 6.1 billion. There’s two chief reasons to that. One is that we have sold the property, as I just told you about, and obviously then that goes out of this, that’s around SEK 200 million. And in addition to that we have reassessed the selling values of a few properties mainly also here in the U.S. operations. As already said, it’s difficult to assess where we have the market values now and historically or maybe rather principally we have always done it like this that when we start a project we have a conservative yield assumption when we go into the business case. The conservative yield and rent that we underwrite. Based on this conservative yield assumption, we report these surplus values here. Now, actual market rates at the point in time when we start a project has therefore almost always been below our own yield assumptions. As market yields are now coming up, we have enjoyed the benefit of having a buffer in the surplus values between the assumed yield this is based on, and the actual market yield. But as yields now are coming up, this buffer is more or less consumed for us. And the consequences of this is, of course, that we will see more direct link between changes in our assessment of what the market yields are going forward, and the surplus values that we will report there, which is essentially our expectation of future profits to be recognized once we do diverse of these properties. If we look at the completion profile of the portfolio of projects here, it looks like this, you recognize this slide, and on the left hand side you have properties, projects essentially that are completed and unsold. We have just shy of SEK 10 billion in investment value in those properties that are leased to 76%. So it’s a good amount of leasing in these properties. And these are, of course, properties that to the largest extent are ready to be sold when we can sort of identify and agree with the buyer. Then, we expect to complete a small property in the fourth quarter, and some more properties in the first, second, and third quarter of next year. And the green dots represent the leasing, average leasing in those properties that are expected to be completed in each respective quarter. So this is the way it looks. So you can say second and third quarter in 2024, we expect to complete projects for quite a lot of investment value. If we look at the leasing, we had average leasing in our portfolio of commercial buildings now excluding to Anders’s earlier point. The rental residential properties that we have ongoing of an average of 44% in the portfolio, and a percent of completion, physical completion, of these properties to around 60%. We leased 30,000 square meters in the quarter, rolling 12 months, this is 190,000. And we can see the trend in leasing is shifting a bit, it was downward sloping for quite some time. We’re starting to get a bit more foothold on the market, especially in the Central European operations, where there is activity on the leasing market, and we actually continue to sign deals. After that, I would say we have the Nordic markets that is still slow, and the slowest market at present is the U.S. market. The trends or the sort of situation hasn’t changed very much, tenants are still asking a lot about flexibility, both flexibility in terms of lease agreements. Also flexibility in terms of the physical space that they rent, expansion, contractions and these things. The demands that clients or tenants have on the fit-outs, level of fit-out in the buildings are high, and they’ve been increasing for quite some time. On the other hand, we have a positive rent development on the market. Obviously, the contracts are adjustable by CPI changes and so on, and we still have tenants that so to accept these changes, so the development in the rent is good. Investment Properties, we recorded an operating income of SEK 31 million. Here, the portfolio is leased on the average to 91%. We haven’t made any transactions into Investment Properties from Commercial Development during the third quarter, so the portfolio is essentially the same as in the second quarter here. We have not made in this quarter any changes to property values here, but of course this is mark-to-market and this will move in conjunction with changes on the market. Look the Group, the operating income from all the business streams of SEK 625 million. And then we have a central item here of minus SEK 85 million. The biggest chunk of this is the overhead headquarter costs, which remains very stable and very well controlled, not a lot of changes there. Then, we have 2 underlying movements that is good to know about, we recognized money consistently from our asset management portfolio of the old ID, infrastructure development projects that we have. And in this quarter isolated, we have also had an asset impairment recorded centrally for the production facility that supports the BoKlok operations. And the size of this asset impairment that is recognized here underneath the minus SEK 85 million is minus SEK 120 million. If we move further down, we have net financials positive SEK 150 million and, of course, the interest rates are coming up, but what is happening here is that we are capitalizing the interest costs for the money that we are investing in a residential and in our commercial projects. We’re capitalizing the interest costs for that on to those projects to be recognized when we divest those projects. The remaining part is, of course, recognized immediately here on the P&L, which is a positive net done. Taxes, we taxed SEK 110 million in the isolated quarter, which is a tax rate of approximately 16% somewhat down from the comparable quarter. If we look at cash flow, we had a sort of very balanced cash flow in the quarter. From that point of view, the change to the same quarter last year is that last quarter – the same quarter last year, we had a positive cash flow over around SEK 3 billion. So the main change to today is to be found in changes in working capital, where we last year had a fairly significant positive impact of that. This quarter, it’s basically flat and also changes to our net investment pace, which is mainly driven by us, not divesting to the same extent as we managed last year at the same time as we are still of course committed to complete the property development projects we have ongoing and this constitutes the investments that we make and the balance of that is sort of more negative on the cash position of this – or less positive actually on the cash this quarter than what it was the same quarter last year. Working capital in Construction, we continue to develop good payment plans with the clients in the bids that we win, it takes a bit more effort today to do, so everyone knows that money these days is attached to a cost, which it hasn’t really been for quite some time so it’s a bit more effort required. We’re still very successful in doing this, though. We recorded at the end of the third quarter, net working capital position of revenue to 18%, which is a solid level. Then, you can see that the green line which represents this KPI over some time, it’s sliding a bit downwards and we have a very good visibility into the future of this, because we have payment plans for all the projects we are ongoing, of course. And this is not an item that will change very suddenly, because we have a big portfolio of many projects in many different markets and it simply takes a lot of time to have any changes in that. But the trend right now for some quarters has been to a slight slope downwards. Not only driven by the nominal position, but also by growth in revenue in Swedish Krona, as I should add. Investments and divestments, the green line you see on this chart represents the net investments for the group on a rolling 12-month basis. You can see we’re fairly deep into net investment territory. And what we can also see in terms of these trends is that we are having a more advanced state of production in our Project Development portfolios. So the investment pace underlying this is slowing down, starting to slow down a little bit. The reason we are still firmly placed on the net investment territory is because the selling market, the transaction markets are so much slower than before. We ended a quarter with SEK 64 billion in capital employed, up to SEK 10 billion from the same quarter last year. And it’s driven by Commercial Development as you can see and it’s driven by investment properties. I think it’s fair to point out that a lot of the capital growth we can see in the Commercial Development, this is capital that is tied into properties that now are completed and will be sold. So it’s not us growing the actual development, ongoing development operations. This is due to sluggishness in the transaction market. If we look at our available liquidity, we could access SEK 16 billion in liquidity, if we were so to need. Of that around SEK 9 billion is to be found in undrawn credit commitments that we have from external parties and the balance is on our own balance sheet. We have two maturities coming up in 2024, one spring, one in fall. And then we have some maturities in 2025, and then out in 2027 as you can see here. And, finally, financial position remains very strong. We have an equity of SEK 58 billion approximately and an adjusted net cash position of SEK 4.7 billion. So it’s a very solid balance sheet we have. We always say this and stand by that very important in times like this, it’s strong and we can own our own decisions despite being active in a pretty capital intensive industry with Project Development. We don’t need to ask someone’s sort of permission for liquidity in order to make the right decisions for the shareholders. We own these decisions and have them in our own hands. Also gives security and confidence to clients that entrust us with building large complex projects that are critical for their own production, et cetera. So, I think, it’s a bit of an envious position for many other companies. Strong balance sheet.
Anders Danielsson: All right. We’ll go into the market outlook. Start with Construction. And it’s very much in line with the last – previous expectations. It’s a mixed picture. We have a strong market outlook in the U.S. That goes for both the civil operation, where we can see that the federal money floating out in the system and the different states are also matching this. We can see a strong pipeline out in our market, and we are well positioned there. And we also see a strong market on the building stream in the U.S., where we build more social infrastructure like schools, universities, hospitals, airports and so on. So that is also a strong market. More stable or weak in Europe. We can see a stable market outlook, especially in Sweden or very Central Europe. We can see that the government, if the government, they are sending out projects for bills out in the market. And in central Europe, we can see that some EU money coming into the market for infrastructure investment. Weak market in the building sector, and here we lower the outlook also in Finland and Norway for more non-building market, like residential, commercial and also some social infrastructure. A bit hesitant there. Residential Development, low activity. We continue to see weak market outlook for the next 12 months. And that goes special for Nordics, more positive signs in Central Europe, as we’ve been talking about. It’s a stronger market. We sell more homes there and more requests for that. And Commercial Property Development, low activity. We can see some gradual improving signs, especially in Central Europe, when it comes to leasing. Hesitant investor market, but it was a good sign that we could sign the divest high quality office building in Budapest during the quarter. And Investment Properties, stable market outlook. We have very good location, high quality building, and we know we have a high occupancy rate in those. So that is stable. To summarize, the Group now, the performance in the third quarter, Construction continue to deliver a strong result overall. Residential Development, low volumes, and also we impacted by weak market with the impairment. Commercial Property Development, divestment of the H2Offices, good sign, but still a weak market. Investment Properties, solid operational performance. We have really good asset here, so that’s encouraging. Again, some impairment charges related to weak property market. And we’re maintaining a strong financial position, which we are determined to keep that. It’s very important for us. And, of course, we invite you to the Capital Markets Day in London on November 21. With that, I hand over to Antonia again to open up the Q&A.
A - Antonia Junelind: Thank you. So, yes, now we will open up for your questions. And as usual, you can call us by using the conference phone number, or I would rather ask you to use the new audio link, because that will offer better sound quality. You can also send us your question by using the text field on the webcast page. And if you are here in the room with us, you can of course ask your question in-person. May I then please ask you to raise your hand and we can bring a microphone to you, and can I also ask you to start by stating your name and organization? We will start with questions from the room and then move to the phone conference and, lastly, pick up the questions on the texted questions. [Operator Instructions] Okay, we’ll start with Albin.
Albin Sandberg: Hi, Albin Sandberg, Kepler Cheuvreux. So, then I go for the two questions on the Construction stream. There have been two order cancellations, I guess, this year. And I know you normally allude to very robust procedures for reporting order intake. Are these just two mis-happenings or do you see a risk of more order cancellations coming?
Anders Danielsson: No, it’s very rare that we see cancellation. We have a conservative when we book our order, we should have binding agreement and also that the project is financed by the client. But we have two exceptions this year, one in the second quarter in the U.S., and one in Sweden in the third quarter. But I don’t see any trend that this will be an issue for us. So I’m confident that we have good quality in our backlog and I’m confident in that.
Albin Sandberg: And then on the margins that I would say, again, I mean the Construction streams are quite stable, I guess, a year ago we spoke a lot about cost inflation, supply chain issues and so on. Where are we in that cycle right now and is all clear and you feel happy or are you still seeing challenges and how do you mitigate that into?
Anders Danielsson: Yeah, we continue to be very careful to mitigate any cost fluctuation, because you never know there’s a lot of things going on in the world and we can’t take for granted that this will flatten out. So we are very careful to secure as much as possible before we even bid for a project, and as soon as we bid for a project – we won the project and sign the contract. We do sign up everything we can and try to mitigate that. But the trend what we have seen in the last few quarters is that it has eased [ph] up, the prices has flattened out, some material has actually gone down, and we also see much less bottlenecks in the supply chain. So it’s easier to mitigate today than it was a year and a year-and-a-half ago.
Albin Sandberg: So I follow-up in the second question, I guess it still counts as two questions. So does that help you in your margins that you see this cost flattening out or have you already secured that price?
Anders Danielsson: Of course, it helps us in a way that it’s easier to mitigate, and it’s easier for the suppliers to secure their prices, which is helpful for us. So, yes, it helps.
Albin Sandberg: Thanks.
Stefan Andersson: Stefan Andersson, Danske Bank. Staying at the order intake there. If I look at the pre-announced orders, they looked rather good. The big orders that you announced, they looked rather strong. And then, of course, the effect of this is that the underlying flow was very weak in the quarter. Just trying to understand how I should view this going forward. Is that just a temporary effect? You talked a lot about the 12 months rolling, being on a good level, of course. And I fully understand that one quarter could be weak. Or is it just that the big orders, you work with them with a very long time? So there’s a later impact on them coming down and the underlying flow is more, as of now. Could you elaborate a little bit about how should we view this low level?
Anders Danielsson: I can start. You should view it over time, not the single quarter, because today the old market basically have a lot of these two-stage contracts, which means that we’re moving to the first stage, we do the design together with the client, and finally when the client push on the button to start the project. We signed the contract, and then, we book the order. So it could fluctuate quite a lot between quarters. So you should definitely look at the more over time rolling 12 is a good measurement here.
Stefan Andersson: Okay. And then, there’s a twist towards the U.S. a little bit in order intake. Just curious to understand, is there any – on your operation going forward, will there be an impact from reducing operations a little bit in Europe, Nordic versus stuffing up in the U.S. and finding the correct people there? Is that something you think you can handle without costs or could that be an issue?
Anders Danielsson: Yes, I’m confident. We build for project where we have the resources available. So I’m very confident that we can grow with their amount of resources that we need to execute the project, well, [one now] [ph] in the U.S., so as one example as the same for Norway. So we are very careful with it.
Antonia Junelind: Okay. So we will now move to questions on the audio conference call. So, operator, can I please ask you to introduce the first caller?
Operator: [Operator Instructions] The first question comes from Markus Henriksson from ABG Sundal Collier. Please go ahead.
Markus Henriksson: Thank you very much. Good morning, everyone. Two questions from me. First, I see that a lot of projects in Commercial Development, which has of last quarter was scheduled to be completed in Q3, Q4 and Q1 2024 seems to have been pushed further into 2024. What has happened? Then, secondly, write-downs in CD are mainly related to land values in the U.S. as you alluded to. I wonder what the implications could be for project margins in ongoing projects in CD, especially, for the U.S. Thank you.
Magnus Persson: Markus, this is Magnus. In terms of the completion profile essentially that there are two things going on there; one is some slippage and also we have firmed up a bit on how we sort of report internally these things, so there’s no major change. It’s sort of turns out like that on the slide. We have the same production pace, same portfolio moving in the same speed with it. But I understand your question, because it looks like that. The second one on write-downs in the U.S. and the consequences of project margins. Well, of course, we have our hurdle rates when we start projects. And these hurdle rates are, of course, meant to create profit. And this profit is meant to sort of cover the risks and some in these projects, otherwise, we don’t start them. So for us writing down project values really doesn’t mean necessarily – sorry, land values really doesn’t mean anything for the coming project value, so to speak. What it does mean is that the market values of projects in totality is uncertain. That’s the basics for the whole impairment here. So I don’t know if that’s a very specific answer, but it’s very difficult to draw that exact line. But, of course, we cannot keep land in our books that we cannot transact at the value we have it in our books. And we cannot keep land that we can’t make money on in our books to the margins we need to make in order for it to start the project. So then, we recognized impairments on that.
Markus Henriksson: Thank you. I’ll go back to the queue.
Operator: The next question comes from Simen Mortensen from DNB. Please go ahead.
Simen Mortensen: Yeah, hi. Simen, here. Just two questions from my side. One element is also we haven’t touched upon is the financial income line. There has been a lot of movements in this line over the past year from anything to interest rate income, interest expenses, financial, other financial items and capitalized interest rates especially. Could you just give us some flavoring on the movements and your expectation of this going forward?
Magnus Persson: Yes, of course. That’s a good question. So we recognized this quarter than just for everyone’s orientation in the P&L, SEK 150 million income on the net financial line. And the way this works is that we have a certain amount, even if it’s very small amount of loans in the company for that we pay an interest, obviously, and then we have a liquidity that we place in the market. This creates a yield. Now, as normal, there’s a differential between these two. So the loan cost is, unfortunately, so to speak, higher than whatever yield we can get when we place things. So normal circumstances, if you do nothing else, it should be sort of negative. Now, what we do with the capital is that we invest it in Project Development projects. And these projects, they need to carry their own capital costs. So the way to a certain that they do that is to capitalize the interest cost for the capital that goes into those projects on the balance sheet for that project. When that capitalization happens, of course, the cost is deferred until we sell that project. So that part of the cost doesn’t show up in the P&L, but instead that recognized when we divest the project. And then, this is the whole dynamics, essentially, about that line in the P&L here, and why this is positive. Does that make sense?
Simen Mortensen: Yeah, it makes sort of sense. But the capitalized and is included in the EBIT, I assume when you sell the Commercial Development.
Magnus Persson: I’m sorry, please come again.
Simen Mortensen: Is then the capitalized interest rates, included as cost of goods sold in the Commercial Developments?
Magnus Persson: Correct. When the products are divested, yes.
Simen Mortensen: My last question is on the surplus values, you typically update these in Q4. Are these done externally or internally? And can you say something about like the movements or the elements you had in expectations at the last time you did that in Q4?
Magnus Persson: Can you please repeat that question?
Simen Mortensen: The surplus value, which you report in Commercial Development typically updated in Q4. Number one, is that done externally or internally? And can you say something about yield assumptions, how can you see in the past?
Magnus Persson: Yeah, that’s a fair question. So the surplus values in Commercial Development, we assess that continuously, first of all. And the reason that some for sort of many time periods, you have seen no differences, because the changes in the values in the underlying market has been swallowed by the yield buffer that I described to you during the conference call. Now, this yield buffer is essentially, in many cases, consumed. Not in all cases, because this is a portfolio and produce are a bit valued a bit differently across the different parts of the operations. But it means that the changes in surplus values, as you will see them when we report, will be more dynamic. They will be more directly connected to how we see changes on the actual market values of properties, for instance, changes in the yields. So you will see more action, if you will, in the surplus values going forward than what you have done historically. It is not so that we wait until the fourth quarter to assess these values, we do this currently or sort of continuously. But, again, I do want to point out that it is today very difficult to assert and what are the correct market values for commercial properties.
Simen Mortensen: Thank you. I’ll go back in the line.
Magnus Persson: Thank you.
Operator: The next question comes from Hunt Graham from Jefferies. Please go ahead.
Graham Hunt: Hi. Thanks very much for the questions. Just two. First, on the impairments in the commercial division, as you said, mainly in line in the U.S. Just wondering why you’re not seeing such big impairments in your European or Swedish portfolio. Do you just have smaller land banks there or is the market a bit stronger? I’ll wait on the second question.
Magnus Persson: Yeah. Thank you for your question. So the main part of the impairments is in the U.S., we also have a small part of that in the European operations. But it is the slowest transaction market we can see is in the U.S., and the property market is most challenged in the U.S., and hence the level of opacity going forward in that market is the greatest in the U.S. So this is essentially why this pops-up in the U.S. It is also true that in terms of capital allocated we have a very big chunk of the CD capital allocated to the U.S., but that’s in itself is not the reason to why the impairments pop-up there.
Graham Hunt: Thanks. And just, secondly, on resi, I think you have about SEK 22 billion of carrying value in that business and as you say about half of unsolved homes are in the BoKlok business. How much of that SEK 22 billion is reflected in BoKlok and do you think there’s still risk to that carrying amount? And then just splitting out the impairments versus the running losses in BoKlok. Are these losses coming from just low volumes or are there some exceptional charges related to your restructuring there in this quarter? Thanks.
Magnus Persson: I will start with your first question, and then I will ask you to repeat your second one, because the reception is somewhat patchy over here. But you’re asking about the carrying values in the Residential Development and how much of that is tied to BoKlok and if we see any further risk in those carrying values. We don’t report the sort of capital distribution in between the different parts of the business. But it is a smaller part of it, but there’s still some sort of above SEK 1 billion plus. And are there any risks remaining in this? I mean there’s always risks in that, because we can never say that we’re certain what the future will look like and we need to reassess and assess these values as the development of the market continues. But, of course, right now we have taken every sort of reassessment of asset values that we feel is necessary in order to have sort of a clean balance sheet and appropriate values in that as we stand now, but what happens in the future we can say.
Anders Danielsson: I can jump in and take the last part of your question. If I understood it right, you asked me about the SEK 160 million charges we took for operational charges we took in BoKlok and that is mainly due to low volume. Yes.
Graham Hunt: Got it. Thank you very much.
Magnus Persson: Thank you.
Operator: The next question comes from Arnaud Lehrmann from Bank of America. Please go ahead.
Arnaud Lehrmann: Thank you very much. So I’ll have two questions, please. My first question is just coming back on Construction orders and I appreciate your comment about the fact that it can be volatile quarter-to-quarter and we should look at it on the 12 months basis. But, I guess on your side, when you look at the amount of bidding, the amount of projects that are coming your way, do you see any indication that the number of potential new projects is slowing down in some markets or some segments or do you still see a steady flow of potential projects you could be bidding on? That’s my first question, please.
Anders Danielsson: Yeah, I see a good market outlook and a good pipeline in the U.S. and that goes for both the civil market and the building market. I can see it’s continuous stable market outlook in the civil sector, both in the vast majority of the Nordics and also in Central Europe. And that’s government funded project that will come out in the market. I see less activity in the other building, building streams, so to speak, with the commercial, residential, but also some public funded projects on the building sector, more hesitant there. So that’s what I see and it’s again a mixed picture.
Arnaud Lehrmann: That’s helpful. Thank you for that. My second question is on your net investments. They were quite a bit lower in the third quarter compared to the first part of the year. I think you mentioned in your comments that it was partly because some of the projects were getting closer to completion. Are you proactively slowing down the pace of investment? Are you moving to like cash preservation to some extent or is just a timing effect?
Magnus Persson: Well, you can say you’re correct in that the net investments, there’s a lot of movement in that if you will, and the dynamics is that once we have started a project in Project Development, Residential Development or Commercial Development, we would very much like to sort of see that project through all the way to the end, because if you stop in the middle, it’s a certain way to destroy value. So in a sense, once you start, you’re committed to that outflow. And what is happening now is that we have these committed outflows, committed investments, but the counter possession in the cash flow, which is the divestment, the actual level of divestments as fallen. So we sort of end up in net investment territory, despite the fact that the investment pays per se is slowing down as projects or the portfolios in Residential and Commercial Development are becoming more and more complete for every quarter, and hence the overall investment base is slowing down a bit.
Arnaud Lehrmann: Right. So, in the meantime, you’re not starting a significant amount of new projects, I think you mentioned there was zero in residential in the quarter.
Magnus Persson: Yeah, you’re right. I mean, that’s primarily we need to find the right business cases. If we find the right business cases we have a strong financial capacity and we will make the decisions that are right for the shareholders then, but with the market the way they are now it is hard to assess and the sort of develop really strong business cases. We do it in some cases, but it’s more difficult to do it at the same scale as before, and hence the starts become lower.
Arnaud Lehrmann: Thank you very much.
Magnus Persson: Thank you.
Operator: The next question comes from Gregor Kuglitsch from UBS. Please go ahead.
Gregor Kuglitsch: Hi, good morning. I’ve got a few questions, and maybe I can kind of focus a little bit on the outlook for cash flow. So if you could just give us a sense of the puts and takes for cash? I mean, I’m looking here on commercial. I don’t know if this is the right way to look at it, but obviously you tell us the completion rate and, therefore, I guess we can conclude how much is left to do in terms of cash out. And, I think, there’s some commentary in the statement also on sort of committed cash-in on already divested commercial properties. I guess, what I’m trying to figure out is whether, let’s say, in the next few quarters, you expect to burn more cash or you maybe go into net debt? Or what do you think you can hold the current level? I mean, a sort of directional sense, please. And then related to that, I wanted to get, and maybe this is not exactly the right time to talk about this, but what you’re thinking is on shareholder distribution, so basically the dividend into next year considering, obviously, you’ve drawn down quite a bit of the net cash balance in the last year or so? And then just, finally, could you confirm that you’re actually not starting any new commercial properties? Sorry, maybe I missed that bit. Is that what you’re doing? You’re just basically pressed pause for the time being, and you’re just building out what you’ve already committed to? Thank you.
Magnus Persson: Thank you, Greg. I will start, and then maybe, Anders, will comment on the dividend and distribution thing. Your last point, if we can confirm that we don’t start in a CD projects, that is not correct. We will start CD projects once we find the right project, and the financials of that project is right, then we are willing to start. But we need to find and decide on these projects, which is we have plenty of project opportunities, obviously, but we need to be very careful where we start and how we do it at the moment. Then, your question about cash flow outlook. Essentially, you’ll get the same answer as Arnaud got in the last question. The biggest thing to understand with our cash flow is that we have a sort of a strong, stable, underlying cash flow generation from Construction. That goes a little bit up and down depending on the development of the net working capital. But the net working capital in itself is also quite stable, because it depends on thousands and thousands of projects over many geographies. And each project has its own payment plan and we have a pretty good visibility into that. But that’s from the Construction side. Then, on the Project Development side, the big puts and takes there is the investments that are committed. We will continue to see those projects through. You can find information about that in our quarterly report. If you look in Commercial Development, you can find how much we have remaining to invest. And you will also be able to find with some simple strokes of a pen approximately how quick those investments are going. So, the same thing with Residential Development. So then you have a good grip of the committed capital outflow. So where it comes down to a lot, the answer to your question is the status of the divestment market. If we are able to sell Commercial Development properties and collect on them, you will have a very different outlook than if we are not able to do that. It’s in a sense easier in Residential Development, where we have a lot more transactions and a lot more units to hand over and collect on. But that take, and I mean, when we plan the liquidity position that we have with the SEK 16 billion we have available at hand. This is, of course, exactly so that that position is designed in order to cover us for any sort of weaknesses in the divestment market, so we don’t expose ourselves to financial risks here, because that’s not a good thing. So these things are very interlinked, the liquidity planning and investment commitments.
Anders Danielsson: Yeah, regarding the dividend, we don’t give any forecast as you know on that and we will come back to you, all of you, after Q4.
Gregor Kuglitsch: Thank you.
Magnus Persson: Thank you.
Operator: Ladies and gentlemen, there are no more questions from the phone.
Antonia Junelind: Thank you very much. And there are a few questions that has been texted to us. I think that many of them have been answered from the conference call. But should there be any questions left unanswered, please reach out to the IR function or myself and we will pick up on those during the day, because this was all the questions we had time for today. So now, I want to thank you, Anders and Magnus, for your presentation here today. And I want to thank you for joining us here in our studio in Stockholm. And, lastly, thank you for watching. A recorded version of this broadcast will be available on our webpage shortly. And I would like to take the last minute to remind you of what Anders mentioned. We are pleased to invite you to our Capital Markets Day on the 21st of November. So looking forward to seeing you then. Thank you.